Andrew Gibson: Good morning. Thank you all for joining the APA Group First Half 2023 Results Presentation. My name is Andrew Gibson, I am the General Manager of Investor Relations at APA. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] We will start with a formal presentation by our CEO, Adam Watson; and Acting CFO, Kynwynn Strong. And then we will open it up for questions. I'd now like to hand the conference over to Adam Watson, CEO and Managing Director. Please go ahead.
Adam Watson: Thank you, Andrew, and good morning, everyone, and thank you for joining the call. So let me start by acknowledging the Gadigal people of the Eora Nation, traditional custodians of the land, on which I'm speaking today. First Nations people have taken care of our lands and waterways for the past 60,000 years and I send my thanks and appreciation to the Gadigal people and all First Nations people, and pay my respects to their elders past, present and emerging. It's a privilege to join you today for the first time in my capacity as APA's, CEO and Managing Director. And also joining me is APA's Acting CFO, Kynwynn Strong, as well as our Investor Relations team. A quick run-through of today's presentation order. I'll start with a short summary of our half year results. I'll then take you through our performance outcomes against our key areas of focus. Kynwynn will take you through the financials before I come back to provide some market insights and we’ll then allow time for Q&A before ending with some closing remarks. But before I start, I want to begin with what we call here at APA, a safety share, and let's move to slide 4. At APA, we start all of our meetings with a discussion on safety, our customers or our behaviors. And the purpose of these discussions is to create an environment and a culture where our people feel courageous and safe to share activities that have gone well or at times not so well, so that we can continuously learn and improve the way that we operate. In November last year, fighting at the Macquarie River in Bathurst resulted in a gas leak on our Young-Lithgow pipeline that affected gas supply in the Central West of New South Wales. We were on the ground within hours, finding innovative short-term solutions to deliver gas to the community and in particular to the vulnerable. And over the course of the next few days, we brought together an in-house team of around 200 people from across the country to restore permanent gas supply. Now despite the immense pressure to restore gas as quickly as possible, we never lost sight of safety. And as a result, there were no lost time injuries. We did have one minor injury where an employee touched a hot well, and we've taken those learnings from this. The overall outcome, it was a strong demonstration of collaboration with our customers, with emergency services, with government and with the community. We communicated early and often to deliver a great result for our stakeholders, and we did it with safety at the forefront. Now let's get into today's presentation by starting with a summary of our half year results, which is presented on slide 5. We've delivered another solid financial performance. EBITDA is up 2.5%. Distributions are up 4%. We have reaffirmed distribution guidance of AUD0.55 per security for the full year. Free cash flow for the half was down 6%, but that was impacted by the timing of a large cash receipt. And Kynwynn will take you through that in a moment. But without that timing issue, free cash was 2% higher than last year. And our balance sheet remains strong with no material debt refinancing required until 2025. We've made good progress on our organic growth pipeline. And we acquired Basslink which gives us another platform to expand our electricity transmission business. When we look further forward, our strategy is to be the partner of choice to deliver infrastructure solutions for the energy transition. As we see our customers' decarbonization ambitions continue to evolve, we're becoming more and more confident about APA's long-term growth outlook. To slide six, last year -- and late last year, I should say, the executive leadership team and I set up three priorities that we want APA to rally around. That's our people, operational excellence and creating value. Across the organization, we're holding each other to account to ensure these priorities make a positive difference for our customers, communities, partners and investors. And I'll step you through today's results in the context of these priorities. So let's start with our people. And our focus here is to ensure they're safe, well engaged and motivated. And we're making good progress, as you can see on slide seven. In the past six months, we achieved a 35% reduction in our total recordable injury frequency rate, or TRIFR, compared with the same time last year. And our female participation has improved over the year for the first time now exceeding over 30%. But despite this progress, we know there's much more to do as we strive for continuous improvement. Creating a pipeline of talented people is vital to our success. And as you can see on slide eight, we've recently been recognized as a top employer for graduates, and we ranked first in our industry category for this year's Australian Association of Graduate Employers List. As well, we've enhanced our parental leave policy to give all APA employees equal access to 18 weeks leave. These are just some examples of what we're focusing on to ensure our people are engaged and motivated. Turning now to operational excellence, which starts on slide nine. Operational excellence is critical to our social license and has underpinned today's solid set of financial results. As I said in my opening remarks, we continue to grow our earnings at the same time as making the necessary investments in capability to ensure we can achieve sustainable long-term growth. Let's move to slide 10. We're proud of our continued strong operational performances across our energy infrastructure portfolio. Through the half, our renewable power generation assets were available around 94% of the time, and we delivered our gas transmission nominations, 99.9% of the time. Both of these are excellent results. We acquired Basslink during the period and moved quickly to integrate the business and ensure it was operating safely and reliably. Performance to-date has been pleasing, and we continue to invest in the asset to maximize performance. Making sure our customers have their energy when they needed is key to our role in the energy transition. We've made good progress with our sustainability initiatives during the period as well, as you can see on slide 11. We appointed our first Reconciliation & First Nations Manager and started developing our reconciliation action plan. We enhanced our ESG-related performance disclosures, and we developed and implemented a responsible procurement strategy. And we continue to enhance our modern slavery risk management initiatives. Central to sustainability is the progression of our Climate Transition Plan. Our progress for the half is summarized on slide 12. We've taken on board feedback from investors, aligning our group executive members’ remuneration to climate-related performance. And we've embedded our action plan across the business. We're on track to deliver our FY 2023 commitments, including the establishment of a methane target. The progress of our Climate Transition Plan sends a clear message to our customers, communities and investors about our commitment to play a meaningful part in a lower emissions future. Moving now to slide 13 and our third focus area, creating value. This encompasses our growth strategy. It encompasses operational efficiency and it encompasses capital management. On the growth side, we have brought clarity to our strategy. Our focus is to be a partner of choice in select markets where we have a competitive advantage. This approach will be underpinned by being proactive and anticipating the needs of our customers, partnering with them, pursuing our solicited proposals and delivering bundled energy solutions. And we're making the investment necessary to achieve this. To slide 14. Our strategy to be the partner of choice will complement the momentum we're already seeing on our existing organic pipeline. We're making good progress with our projects across Australia with $465 million invested through the second half -- sorry, through the half across our select markets. We haven't been immune from the escalation of materials costs, supply chain pressures or impacts from weather, but most of this has been shielded and successfully shielded by the way we procure our materials and contractors. We commissioned our Gruyere microgrid during the half and is performing very well. Our Mica Creek Solar Farm is powering ahead, and we've got now more than 90% of construction complete. The expansion of our pipeline routes to Southern markets is well underway and on track to help meet peak gas demand this winter. Pleasingly, this was recognized by the ACCC who recently acknowledged that there is now likely to be sufficient capacity on key pipelines to transport gas to meet the projected supply shortfalls in the southern states in 2023. On top of this, we've also acquired Basslink further enhancing our electricity transmission capability and giving us exposure to new energy markets. We can now support our customers with subsea cable expertise. And we've extended our market reach into Tasmania. In total, we invested around $1.3 billion during the period, in a mix of organic growth and M&A projects, that we're confident will create long-term value for our investors. We meet customers and the community. To slide 15, we have a strong business with strong foundations and a great future. But we also need to continue to invest in our business and in our people. A great example of this, is the expansion of our electricity transmission business. We can now demonstrate that we have the skills, capability and experience that's, necessary to support customers such as the New South Wales government with their renewable energy zone ambitions, with APA being selected as one of the short listed participants in the Central West Arana initiative. That's clear evidence of this. Our new national state-of-the-art, Integrated Operations Center, or IOC, as we call it, which you can see on the slide 16 in front of you, is a great example of how these investments in our business will strengthen our foundations and create value over the long-term. Our new IOC was opened in November last year. We can now support our customers and market operators from one central location. It's a truly impressive capability that we've developed. And let me emphasize once again, its investments like this that will ensure APA can support our stakeholders to deliver safe, reliable and affordable energy solutions and enable APA to be a partner of choice, as Australia's energy system transitions. With that, I'll hand you over to Kynwynn, to talk to our financial performance.
Kynwynn Strong: Thanks, Adam, and good morning, everyone. It is my pleasure to address you with APA's Acting Chief Financial Officer. To echo Adam, we're pleased with our financial performance for the first half of FY 2023. I'll jump straight into today's results, starting with the slide on page 18 in the P&L. We've delivered another solid financial performance with revenue, up 5% and EBITDA up 2.5%. Our non-operating items are a positive $12 million in total with the two main callouts being Basslink with interest income, the revaluation of the debt and integration costs taken below the line, partly offset by hedging adjustments and our technology transformation projects. These details are shown in the appendix. Depreciation and amortization are lower, as this half normalizes for the higher rate we saw in the first half of FY 2022. Net interest expense is lower, as we benefited from higher deposit base. Tax expense is higher on our higher earnings base. Free cash flow is down 6%, but it is up 2%, if we exclude the impact of a $41 million receipt that was paid in early January, I'll come back to this shortly. But as Adam said in his remarks earlier, I want you to take away the number that it's 2% higher. Our distribution is in line with our guidance at 22 -- sorry, $0.26 per security, up 4%, equating to a payout ratio of 63.3%. In I'm proud to say this is a continuation of almost 19 years of growth in distributions for our security holders. And there is no doubt our balance sheet is robust and we are in a strong position with cash and undrawn facilities of $2.3 billion. Moving now on to the next slide, where I will take you through the revenue in more detail. Payment revenue is up 5%. Excluding Orbost, it's up 7%. You can see we have clearly benefited from the majority of our tariffs being linked to inflation. We have also had some operational improvements in the period. About half of the $20 million you will see there under operating revenue is from our East Coast assets performing well in the period. The another half is from the non-recurrence of an operating item in the West Coast in the prior period. So overall, it's a solid result and what you would expect us. We are a highly contracted energy infrastructure business with inflation-linked revenues. If we now look at our costs on the next slide, Slide 20. The biggest item here is our corporate costs, which have increased $16 million. You will recall at our Investor Day in May and our results in August last year, we were explicit that our cost base would increase as we invested in our business to ensure a sustainable future, and this is what you are seeing. You are seeing targeted and financially disciplined investment in our people to further build out our capabilities. This is key to ensuring we create value for our customers, communities and investors as a partner of choice to deliver infrastructure solutions. While we will remain financially disciplined, we're making these significant investments now to ensure our business will grow sustainably over the longer-term. This includes electricity transmission, renewables, power generation, sustainability and community technology. It is also really important to acknowledge the hard work of our teams who continue to drive operational efficiency improvements. If I could make a specific call out that operating costs have only increased $9 million despite a challenging period with floods and an inflationary environment. As Adam said in his earlier remarks, this goes to the heart of our operational excellence. Moving to Slide 21, which shows EBITDA by segment. I'll call out a few highlights. On the East Coast, EBITDA is up 5%, excluding Orbost. In addition to our tariffs benefiting from inflation, we saw good performance from a number of our assets, including the South West Queensland Pipeline and Roma Brisbane Pipeline with new contracts and a colder winter. It also captures our response to the Young-Lithgow repair, which Adam touched on earlier, highlighting our focus on safety and support for vulnerable customers. The West Coast continues to perform well, up 11% with around half of this increase in inflationary benefits and the other half from an operating provision in the previous period. The Wallumbilla Gladstone pipeline is pretty straightforward with a 7% increase due to the contracts being inflation linked with a small FX offset attributable to the foreign exchange contracts we extended this time last year. Our electricity generation and transmission, which includes Basslink and our generation assets, both firming and renewables is up 13% with an initial $8 million contribution from Basslink, excluding Basslink, EBITDA is up 5%. Moving on to cash flow on the next slide, slide 22. As I mentioned earlier, free cash flow is down 6%, but the number I want you to take away is that it's 2% higher. You can see in this waterfall chart, the largest movement is a $41 million increase in working capital with fixed payments falling into early January as a result of the 31st of December falling on a Saturday. There is also a $24 million movement in working capital from a handful of small items. We have not separated these out, but the dynamic is similar. Without this $41 million, our free cash flow increased 2%, broadly in line with EBITDA and increases of the benefit we continue to receive from the federal government's accelerated depreciation allowance for capital projects. I would also pull your attention to the net interest line, which is only $1 million higher than the first half of FY 2022 as we continue to benefit from the liability management exercise, we executed in March 2021, with all our drawn debt fully hedged or fixed. Turning now to our balance sheet on slide 23. This slide clearly demonstrates the strong foundations of our business, and I will make just two points. First, our balance sheet is strong with our average cost of debt at 4.4% and $2.3 billion of cash and undrawn facilities to fund growth and pursue the opportunities in front of us. Second, it highlights that we continue to have an organic pipeline of CapEx opportunities still in excess of $1.4 billion. Moving on to slide 24. So to conclude, and before I hand back to Adam, I want to summarize how we think about our disciplined capital allocation. First and foremost, we must make sure our people are safe and our assets are safe with our same business CapEx. We're focused on continuing to improve our technologies, protecting our assets and delivering on our net zero commitment. We have risk-adjusted hurdle rates for both M&A and organic growth to ensure we create long-term value for our securityholders. We know our distributions are important to our securityholders, and we always look to ensure we have an appropriate balance between growing our distribution and efficient funding of our growth. And finally, we're continuing to ensure we have the options available to us for capital management so that we can act when we see an opportunity to create value. I look forward to your questions later. I now hand you back to Adam to take you through the energy market dynamics.
Adam Watson: Thank you, Kynwynn. And as Kynwynn just said, I'd like to briefly highlight some of the dynamics we're seeing in the energy market at the moment, before we take some questions from the audience. So I'll get back on to slide 26. And what's important here is that the success of the energy industry going forward is, clearly going to be judged by our nation's ability to deliver reliable and affordable energy for our community, industry as the system continues to lower emissions. And over the last year, we've seen what happens when one of these falls out of balance. Make no mistake, investment in renewable power generation is critical, and it's actually got to continue to accelerate if we're going to achieve our nation's net zero ambitions. At APA, we're playing our part. We're developing Australia's largest off-grid solar farm in Mount Isa. We've acquired Basslink and we're supporting government to build out the electricity transmission connections required to support these new generators. And through the transition, we know that gas will continue to play a central role in ensuring our NG system remains reliable and affordable as we transition to more and more renewables. More broadly though, Australia needs to ensure that the right policies and regulatory frameworks are in place to ensure the energy transition is orderly and to promote the necessary investment required to achieve our nation's ambitions. Moving to slide 27. As Australia's long-term coal is winding down, we're seeing renewable generation stepping up as it should be. Part renewables, unfortunately, can't do all the heavy lifting. Right now, coal still represents two-thirds of the national electricity market energy mix. AEMO expects about 60% of the current coal-fired capacity to be withdrawn by 2030. That's around 14 gigawatts of capacity that will not be available within seven years. The challenge to replace 14 gigawatts of capacity by 2030 is staggering. And let me try to paint a picture of this challenge. Snowy 2.0; and Battery of the Nation are two of Australia's largest renewable projects. But when they eventually come online, they'll only deliver a fraction of what's needed to replace coal and don't get me wrong, we need these projects. Technologies such as batteries are no doubt required and have a role to play as well. But if you take, for example, the Victorian big battery, one of the largest in the world, it's likely to only provide enough power for around 1 million Victorian homes for around 30 minutes. Yes, technology is improving at pace as it should be, but it's well sort of what's needed to ensure our energy system is secure and reliable when the sun doesn't shine or when the wind doesn't blow. And that's why renewable energy coupled with firm gas is essential. On to slide 28, we've seen the importance of gas play out in South Australia. We've seen a play out in Western Australia, and we've seen it play out in other progressive regions of the world. In the UK, renewables make up about 36% of the energy market, which is in process. Gas makes up about 40%, in the Netherlands, renewables make up 3%. Gas makes up 46%, but if we focus back on Australia, right now, when you take South Australia out of the national electricity market, it runs on 24% renewables, but just 4% gas and 67% coal. As coal, as we've drawn across the NEM at ever-increasing rates, gas will be essential to ensure grid stability and support the growth of renewables. The key to achieving this is ensuring that there's appropriate supplier gas in the market and importantly, domestic supply of gas in the market. Let's look at slide 29, as an example. The UK is an example of what happens when ambition gets ahead of reality and appropriate domestic supply is it maintained. While the Russian and Ukraine conference is no doubt materially impacted energy prices in the UK, prices were already on the rise well before the conflict began. Before the Ukraine conflict in calendar 2021, the UK gas production reduced by 17%. While at the same time, renewable generation output actually fell 8% owing to poor weather conditions. With coal generation in the UK at an all-time low due to the retirement and domestic gas supply down, the UK had to increase its reliance on gas imports to keep the lights on and household warm [ph]. The results a 189% increase in UK electricity prices over this period, again, I underline before the Ukraine conflict, which then only made matters worse. Turning to slide 30. This provides an important lesson for Australia. Reliability and affordability of energy is directly linked to domestic gas supply. And we know that we need to keep energy costs, including gas affordable for both households and for industry. I think everyone recognizes the challenge involved when setting policies to ensure energy costs are kept low. It is not easy. But committing to domestic gas supply is arguably the single most important initiative we have at our disposal to deliver a smooth, effective and successful energy transition for Australians. At APA, we're doing everything we can to make sure that gas can get to where it's needed. We're investing ahead of demand. Our East Coast graph -- our East Coast grid development is a clear example of this. By developing upstream gas resources and new gas suppliers must also be prioritized. My key message for you is this. The energy transition is not a game of picking energy source winners. We need an orderly transition if we're going to get this right for our communities and for industry. Coal is coming out. An investment in renewable power generation is critical and must continue to accelerate if we're to achieve our nation's net zero ambitions. We need to connect the new generators to the users via new electricity transmission links. But it's also vital to bring to market new domestic gas suppliers to complement renewables and fast track the energy transition. With that, I'd like to now hand it over to the moderator, who is going to help us with the questions from the audience.
Operator: Thank you. [Operator Instructions] The first question comes from Tom Allen at UBS.
Tom Allen: Good morning, Adam, Kynwynn and the broader team. You reported EBITDA growth across both the East Coast and West Coast networks. You called out that CPI tariff escalation was a key contributor. So I'm especially interested in the comments around improved operating activities and new contracts on the East Coast. So, recognizing the government has price caps on uncontracted wholesale gas on the East Coast. And can you hear whether APA will be a beneficiary of an uptick in demand the pipeline contracting, arising from those caps.
Adam Watson: Thank you, Tom, and thanks for the question. It's an interesting dynamic we're seeing and look, one that we think for the long-term is not necessarily sustainable. I think you've got to think about it in two different ways in terms of the reaction of customers and the upstream players in the market because of what's happening from a policy and regulatory plan. Two parts. One is there's obviously -- and I'm not going to speak on behalf of any of our customers or individual customers in particular. But everyone knows that the upstream players are concerned about this, the uncertainty in particular. And we're hearing from them the pause that's going on in terms of their new investments to bring supply to market. And -- you just heard me for the last five minutes to talk about how critical that is. So that is something that needs to play out. And again, we all know what they're looking for. They're looking for certainty and clarity to ensure that when they make their investments, they know what returns they're generating for their own investors. The other part is just the day-to-day dynamics of the customer. And one of the things that we're seeing is not general across the entire portfolio, but we are seeing a lot of customers racing to try to secure supply. The one thing that we don't want -- and we know the demand is there, we know demand for gas is supply, and in particular, to the southern markets. We know that we're bringing that supply to market with our investments in the East Coast grid. So, it's now about making sure that you've got access to the market to be able to bring supply to the customers. And one of the things that we are seeing is our customers making sure that they're locking in that short-term supply. So, that's the positive side of things. But again, going back to my initial comment, what we need is that level of stability and certainty so that our customers can be making more longer-term views around the longer-term outlook of gas supply and demand.
Tom Allen: Thanks for that color, Adam. It sounds like there's a positive short-term tailwind coming through at least. Just a couple of questions on your growth projects. The Northern Goldfield Interconnect in WA, that took FID back in 2020 with less than 25% of the capacity contracted -- is that pipeline on track for first gas this year? Is it within the AUD460 million budget? And also, can you share what percentage of the current pipeline capacity is contracted for first gas?
Adam Watson: Yes. Thank you. So, again, just to remind everyone, NGI is in WA. And again, that was one of those projects that we brought to market ahead of having all of the customer contracts secured. And again, we have backed ourselves and we know that the WA market, in particular, the resources sector is going to be buoyant and robust for decades to come, just given the needs of the of the globe around the products are being produced in that area. So, where they're supporting our customers, bringing energy to market so that the customers in that region can then have certainty. Again, these companies need to have certainty of things like energy supply before they can go through their processes to raise the capital to bring their product to market. The delivery of the construction project is going well. We have not been immune, as I said before, across all of our portfolio, but we haven't been immune to supply shortages, to cost escalations, to weather impacts, but we have been able to contain it very well on that project. So nothing material that would concern you or that has concerned us. And as it relates to the contracting, again, the team at APA has done a phenomenal job of working very closely with our customers on this. But I think it's important to understand a couple of dynamics with these sorts of projects and in particular, that area. So firstly, it's not any one or any two big customers coming along that just take out the full supply of that of that product. It's about serving a community and a community of largely resources businesses, some existing and well-established and some that are new with a very impressive very impressive tenements, but they need to get their businesses operating. So we're working with all of our customers to provide that support -- many number of them are signing up and a number of them are waiting until there is exact clarity on when our opening date is. We're still on track to deliver that in the fourth quarter of this financial year, so around the middle of the year. But despite more certainty on exactly when we are bringing that to market. And because there's capacity in the asset, they have the luxury of being able to take the time to be able to do that. The other thing that we need to be aware of, and we've had this in other assets that have had a similar portfolio is that the ramp-up of these type of assets is just slower than you would have had if it was a pipeline that was contracted to just one or two customers that was ready to go once you had commissioned it. So the ramp-up should be seen as one that takes a longer time, just again given the nature of the customer profile. Some of our customers have not got their projects off the ground yet, and that may take 12 to 18 months to occur. But again, the takeaway is that we're confident about the demand. We're certainly very, very confident about the longer-term demand. The thing that we just need to manage, which was already in our forecast when we developed this this project is just the timing of the ramp-up and it may be a bit slower than what you've been accustomed to in the past.
Tom Allen: All right. Thanks, Adam. Yes, you're hearing that we're not going to commit today to where the firm contracting is, but you're hearing that and clear that it might be a little slower than you expected a few years ago. And final question on growth. Just looking for some color on the indicative time frame you expect to hear the outcome of your bid for the electricity transmission work in the New South Wales Central West Arana Renewable Energy Zone. And then if you were unsuccessful in that process, can you just talk to the pipeline of opportunities to bid for similar reservoir along the Eastern Seaboard and the indicative CapEx scope for those types of opportunities?
A – Adam Watson: Yes. Thank you, Tom. And look, firstly, we're obviously down by confidentiality and things like that, that we can't get into the specifics of the project. So I cannot give you the timing of when we would expect to hear an outcome. What is public, what is well known is that we're one of the shortlisted players to be able to progress through the stage that we're in now with the New South Wales government on the Central West Arana. So is, I think, a very, very strong signal that the New South Wales government has got safe that we have got the capability and the right to play in this space. They wouldn't have taken us through all this work if they didn't think we have the capability in that space. We already, as you know, own and operate interconnectors across the country. We bought Basslink during the period, which further strengthens our capability in that area. And as I called out and as Kynwynn called out, we've been very deliberate in making sure that we are investing upfront in the capability to ensure that we can give our customers. And in this case, it's the New South Wales government and the community more broadly with the confidence that we've got the capability to be able to do that. If we're successful with the project, we'll continue to invest in that business. And we'll be working, obviously, very closely with the government and with the market operators, the regulators to progress through that. And we have every confidence that if we're fortunate to be the successful player in that that we can do that and move that at-speed. At-speed comment, I guess, is the pertinent one, because if you play out the scenario or the question that you just asked around what happens if we don't win, when you look at the pipeline of opportunities, when you look at what is required across the nation to build our electricity transmission is significant. We know we've got the capability. We are one of the few operators in this space. One can think that it's highly competitive, and it is very competitive amongst the players in this space, but we are one of the few in the space. We are very proudly an Australian company, which I think is a differentiator. And I think the community will look positively on the fact, they were an Australian company, delivering legal infrastructure through market. But when you take – I go back to coal is coming out, there is no question it is coming out of pace. It's coming out of pace not just because of climate change, it’s coming out of pace because most of these coal-fired generators are old, and they cost a lot of money to uptake. So there's going to be decisions made around whether or not you keep investing money when you've got an uncertain future or that you transition, and either way, you need to do all of it and renewable power generation needs to come in at massive scale, at massive pace. And we cannot lose sight of the fact that you can't build a wind farm or a solar farm somewhere. And Tom, I'm sure you know as well as anyone, the volume that's been built, you can't build it without connecting it to the end user. And that's where electricity transmission is going to play. And we, again, are very confident about the long-term potential for us to play in that space because the demand is certainly going to be there.
Tom Allen: All right. Thanks for that additionally color, Adam. Much appreciated.
Adam Watson: Thanks Tom.
Operator: The next question comes from Dale Koenders of Barrenjoey.
Dale Koenders: Good morning. Just building on Tom's questions. Can you provide a bit more color as to what are the other key moving pieces to earnings over the next 12 months, and maybe what was the impact from Lithgow pipeline that won't go again, post AUD8 million for a couple of months. Is that the right run rate going forward corporate cost growth, or is it more to come, or anything else you can think of?
Adam Watson: Yeah. Dale, I think the -- if I was in your shoes, I think a couple of the things you're going to be focused on is around the cost base, and we've had a lot of questions on that for a couple of years now as we've been very clear about our ambition to grow in the energy, in Australia's energy transition and build our capability. And I think you've got to recognize, and again, we've been talking about this for a long time. Investor Days, presentation to the market that we need to ensure that we are internally confident and also that the community can be confident that we've got the right capability. Capability can be defined as things like systems and processes and platforms and IOCs and as well as people that we've got the right capability to be able to deliver the infrastructure solutions that the community needs and that our customers need. We are leaning into it. We are not shying away for it. I'm sure there'll be a couple of cynics out there about how we're going about it. But we know and I personally know that you need to make those investments to build the capability to be able to be successful and create sustainable long-term growth. And we're leaning into it. We're doing it in a very disciplined way. So please don't misinterpret what I'm saying. We're very focused on how we go about it. We're pacing it appropriately. We're driving operational efficiency through the rest of our business. Common again called out when you look at the base business. And again, I'd like to thank the operations team as well for continually being focused on operational efficiency. But we need to make the investments in the areas that we need to make the investments. So we're doing that. So that's, I guess, the OpEx side of things. So short answer to your question is we will continue to invest. But there becomes a point in the not-too-distant future where you build scale and you don't need to do that anymore and you can drive efficiency from the systems and processes that you're implementing. So again, it's getting the balance right. And the second one you raised, which is the second thing that I would raise suppose in your shoes is just around the CapEx. And again, we've been very transparent about that. At least directionally anyway over the last period of time about the fact that we need to not only invest in organic growth, which is great, but also in some of those foundational platforms. So again, you can't build an integrated operating center an -- is the way that we've done and we'd love to get you to our facility so that you can see the capability that we build. You've got to spend the capital to do that. We have a real competitive advantage going back to Tom's question on things like electricity transmission, not only being an Australian company, but we know that we can attract talent as a public company and as an Australian company, we are able to attract talent, and we've got to make sure that we accommodate them in the right places we need to know that we need to be competitive in the way that we can attract and retain talent. We need to invest in their development and we need to ensure that we've got the right culture and behaviors in place to be able to make sure that we're an employer of choice. So we are investing in technology. We're investing in ERPs and those sorts of things not just because we want to, but because we know it's the right thing for our communities, for our customers, for our investors, in particular, over the long-term.
Dale Koenders: So I guess my conclusion then is base earnings, are they flat in the absence of inflation, but APA is continuing to invest money to make money in people and systems of projects?
A – Adam Watson: I can't give guidance on that. So the guidance I can give is around our distribution profile. But what I can say is again, we've got a really solid foundation. We've got inflation-linked revenues. We're investing in capability. That's not going to continue forever in terms of the step-up that we're making and that will reset at the appropriate time. And we very allied to the fact that our investors also like a nice, stable distribution or nice stable distribution growth year-on-year and our job to keep the balance right.
Dale Koenders: Okay. Thanks.
Operator: The next question comes from Peter Wilson at Credit Suisse.
Peter Wilson: Hey, good morning. If I could ask a question on the 2025 debt refinancing. So a significant chunk of that as I understand it was associated with the Wallumbilla Gas Pipeline acquisition. I think there's US$1.1 billion of debt associated with that maturing in 2025. Last time we had the situation in 2019, that debt was refinanced and the term extended that I imagine that option might be off the table this time given that, that asset is typically halfway through its, effective financial life. So just wondering what you intend to do with that debt? Do you intend to reduce APAs gross debt once you repay that, or do you intend to effectively leverage up your other assets to repay that?
Kynwynn Strong: Hi, Peter, it's Kynwynn here. Thanks for your question. So in terms of how we think about our debt book, I think the first important point to make is it strong balance sheet, make sure that we've got that interest rate risk is locked away. So that continuation of ensuring that we've got that fixed rate exposure -- in terms of the actual refi that's coming up in 2025, we are looking at that now, obviously, and we'll look at a number of options for us. We will work through that, recognizing that associated with the WGP, but that we wrap it into our overall portfolio and think about the portfolio as a whole. We want to make sure that we've got options so that we can continue to invest and grow our business, but we will do that ensuring that we've got investment credit ratings and we'll always have them at the forefront of our minds when we're thinking about
Peter Wilson: Okay. I mean given that asset does I guess, only 12 to 13 years to run. Do you agree that it is appropriate to start amortizing the debt associated with that?
Kynwynn Strong: We're well alive to the profile of it, and that's one of the considerations that we are looking at, as we think about our portfolio and our capital management strategy, which we look at all the cards. It's not that we do it particularly now that we've got a particular tranche of debt coming up. It's something that we're always looking at, always looking to optimize to ensure we put ourselves in the best position that we can so that we've got the options to continue to grow our business in a sustainable and value-accretive way.
Peter Wilson: Okay. Got it. And Adam, one for you on strategy. On Slide 13, you outlined your focus markets, future energy assume that RCON [ph] is renewable fuels. So just thinking about the amount of capital that you might deploy into that over the medium term? I know you're a partner in the Central Queensland hydrogen project, which I believe the intention was to enter feed in 2023. So maybe no real comment on hydrogen, how much kind of capital you intend to commit there? And then an update on that Central Queensland project?
Adam Watson: Yes. Thank you, Peter. Look, it's the hydrogen ones are really interesting one because -- and we're obviously leaning into it, and we're making investments and we'll continue to make investments in that space. A, because we know we've got capability, you are transporting molecules, we're good at transporting molecules. So we know that we've got a role to play in the transition. And I think the fact that we've been able to partner up with such credible partners in things like the Central Queensland hydrogen project is testament to the role that we can play there. For us, it's about trying to get the balance right. And we're late to the fact that hydrogen is a viable and should be technologically viable alternative and clean alternative fuel source over the longer-term. The real challenge is the near term and how that works, both economically and practically with certain industries would like to be at, in particular, some of the heavy industry sectors would love to be able to convert over to hydrogen that we all know, and I know very well that there's a long way to go before that plays out. So, we want to continue to be involved in those projects. We will invest in those projects when there is demand for that from a customer perspective. And when I say invest, I met at a heavy scale. And there were some interesting -- and Central Queensland Hydrogen project is particularly interesting one, potentially because of the offtake demand and the offtake arrangements that could be in place. So, it's about getting the balance right, but I certainly I’m not coming out and saying, we're doubling down and we're going to go crazy on hydrogen projects at the moment. That's not the intent. It's just making sure that we've got that appropriate balance between being across it to support our customers, investing at the right pace to ensure that we can support our customers operationally and technically and commercially at the appropriate time, and again, being at the table, so that when they do commercialize, we can support our customers with that.
Peter Wilson: Okay. Good. Thank you, both I'll leave it there.
Adam Watson: Thanks, Peter.
Operator: The next question comes from Gordon Ramsay at RBC Capital Market.
Gordon Ramsay: Well, thank you, Adam and Kynwynn for your presentation today. I've got some questions just on your key business operations. I just want to start with energy infrastructure. It looks like your higher replacement link revenue in Basslink in earnings were key drivers here, kind of 8% growth in revenue. I guess, I'm just trying to get a feel for how repeatable that is going forward, assuming the half year period, the Basslink contribution was in those numbers. Can we look at a similar level in the second half of the year or into FY '24?
Kynwynn Strong: You mean specifically for Basslink, Gordon?
Gordon Ramsay: No, no. Overall, just the electricity generation transmission contribution, the revenue contribution was up 8% for energy infrastructure.
Kynwynn Strong: Yes. So let me start with inflation. So, if you think about how our contracts are structured. So, we are able to basically have inflation on the vast majority of our contracts. So, that is take the inflation rate that you see, and you can apply that to the vast majority of our revenue line. Now, some of them are annual. Some of them are quarterly, and that will flow through the business. So that sort of takes care of that one. Outside of that, then you're looking at the contracting position. And as you are probably aware, we don't provide the day-to-day detail there, where we've got new contracts coming on and falling off, but the net impact from this period is some fall off and some more came on and it ended up being quite a good outcome. And you know our team worked very, very hard to make sure that the relationships that we have with our customers is a good one, and they can continue to have that dialogue with them and make sure our assets are available and they're able to contract with the -- the Wallumbilla Gladstone Pipeline, that's pretty straightforward. So the inflation coming through for there is a 7-and-a-bit percent. That’s up from 1 Jan. So that one should be able to help you think about that. If I look at a few of the others, the asset management business is down on the pcp. And that's a reflection of a chunk of work that we've done over the last little while, that we're probably back to a more normalized level there. I'll call out the energy investments, even though it's a small contribution. The point to make there is, we've had a change in -- so that's coming from SEAGas. We've had a change in one of our contracts there, where they had a fixed and a variable component, they've just moved to a variable component. And so, when you're thinking about that one, I'd be thinking about just a variable component going forward. And Adam's talked to corporate costs; we are going to continue to invest in our corporate costs.
Adam Watson: If I can just add, Gordon, probably just two things. Basslink, we're really happy with. So, again, it's a business that, as you know, is contracted. We're on a pathway to regulation. The contract has been set up to somewhat mirror our expectations around regulation, but that's performing well. The team has done a great job at integrating that. We've got a few more things to integrate, but we've moved very quickly. We're making some investments, as I mentioned earlier, which I know our customers been delighted by, and we're doing a great job in terms of reliability. The other one you asked specifically about, electricity generation. The other -- generally, we're doing quite well there. I think, an example of that is Diamantina, up in Mount Isa, it's had a really, really good half. And a lot of that is operational performance. And, again, we will always call out our operations team and hats off for the team up there for managing and operating that asset so well, as they always do, that during the period, performance has been outstanding. And we've had a few tailwinds with some customer demand, which may not continue. These assets go up and down over time. So we've had a very good half in that electricity transmission -- sorry, electricity generation part of our business.
Gordon Ramsay: Just one other question from me. Thank you. On asset management, you had a change in project mix with higher cost plus margin projects and lower customer contribution projects? Can we look at that kind of mix going forward, or is that somewhat variable? And what I'm getting at is it drove higher revenue but lower EBITDA. And I'm just trying to kind of look at that going forward.
Kynwynn Strong: Yes. So the patterns that you're seeing, that's coming through into the first half, that's the base that you should look at.
Gordon Ramsay: Okay. That’s good. Thanks, Kynwynn.
Operator: The next question comes from Rob Koh at MS.
Rob Koh: Hi. Good morning. Thanks for the presentation. I just wanted to drill a little bit more into how I should be thinking about the run rate on the Basslink earnings. Is the $7.7 million EBITDA effective from 20th of October? And is that a run rate to think about, or should we also be factoring in what was previously interest income in that?
Kynwynn Strong: Yes. So we've taken the interest income below the line, and you'll be able to see that there in the split out of the non-operating items, Rob. You are right on the date. So that’s 20th of October. If you take that range and then annualize it for the second half you will get a number. I'd just encourage you to be aware that we are doing some tweaks and a bit of work on the Basslink, Basslink transmission of Basslink project all up as we integrate it into our business. So we were doing it. The team is doing a great job there to bring it into our business. And that is work that's being undertaken right now.
Rob Koh: Great. That's very helpful. And then maybe a slightly more bigger picture question, because you're obviously very focused on continuity and reliability of gas supply. One of your bigger clients have expressed a view that the one the managements solution for southern market shortfall should that happen is through your East Coast Grid, but then the constraint becomes storage. So do you have a view on storage investment in the southern markets and whether you move ahead of demand on that particular front?
Adam Watson: Yeah. It's a really good question, Mr. Koh. And you didn't come Mr. Watson, I'm a bit nervous about that. No, it's -- look, it's an interesting one. And I always start the answer to these questions as you need order to make it work effectively, but you've got to be very careful about which priorities you choose ensure that you get that balance right around security, reliability, affordability and lower emissions. I think the storage has got a very important role to play. We saw our Mondarra asset in the Northwest play an important role just a few weeks ago. And we can see that is critical. I think the challenging thing is whether or not things like storage are the right solution for long-term supply/demand imbalances, so typically very good for short term, but long-term. And you've seen that play out in Europe at the moment where there's a lot of concern about whether or not the storage, which is somewhat say today, at least cushion the impact in Europe during the winter, are the concerns is whether or not it's going to be enough going forward. And I keep bringing it back to what is the number one thing we can do to ensure that we provide the most secure, most reliable, most affordable outcome in the energy transition as it relates to gas is about bringing supply to market. And we know that there's -- it's going to be hard to do that in Victoria. So you've got to look to the northern states. And there's an abundance of supply. It's just about how do we encourage the investment to bring it to market.
Rob Koh: Yeah. Thanks, Mr. Watson. Sorry. I was going to call you that. I was a little worried I was going to call you Mr. Bevans because I've got a bit of today.
Adam Watson: Okay
Rob Koh: Yeah. Thank you very much for the answer. I appreciate that. I just want to double check the escalation in the Wallumbilla Gladstone Pipeline for this calendar year, is that the 7% that you're referring to, or are you able to share what that print is?
Kynwynn Strong: Yeah, 7.5 starting 1 Jan WGP revenue goes up 7.5%.
Rob Koh: Excellent. Thank you, Ms. Kynwynn. Thanks again.
Adam Watson: Thanks, Rob.
Operator: The next question is from Ian Myles from Macquarie.
Ian Myles: Good morning, guys. Just can you give us some examples of your bundle one key solutions that you've been for long-term during the first half of the year?
Adam Watson: Yeah. Thanks, Ian. So – there has been a number of bids, and I can't get into specifics because as you would expect to get it – you signed NDAs and all those sorts of things. But to paint a picture, Gruyere was an example of a – we call it a micro grid at one where we bundled the solution as it relates to firming renewable power generation and how you bring that together Battery Storage. We've obviously made strong progress during the period in Mount Isa, supporting our customers there. So we're funding a solution where we can effectively provide the gas firming to support the new Market Creek solar farm. We see a lot of opportunities in the remote areas where – we know that our customers are de-carbonizing. You can look at all the major resources companies in Australia, and they all have net zero commitments and there – their owned requirements and ambitions to take themselves off coal, or diesel, or wherever it maybe. And I guess that if we use that as the example, which is where we are spending most of our time in, it's – our customers, don't necessarily want to have to deal with five different players. So they don't want to has to deal with somebody who's going to provide the electricity – sorry, the renewable power generation and then have to deal with somebody separate who's going to connect that bioelectricity transmission and then have somebody separate who they're going to enter into a gas firming arrangement. And then potentially somebody different who might do a bit of factory storage or whatever it may be. The thing that we know we can do since we can provide all that and we can bundle that service together. They start misinterpret the customer who is going to push hard around making sure it's affordable and all those sorts of things, but we actually have a fairly unique competitive advantage in being able to bring that bundled solution together knowing that we already have the infrastructure in many of those regions that we already have the people and the relationships. So it's those sorts of projects in – these are not – they're not little projects. So they're not ones that you just announce something every other week, like you can do if we were just solely focused on building small solar farms. The bundle solutions are fairly big projects, you're making fairly good commitments with the customer you're signing long-term contracts typically. So we feel confident about them. We didn't announce anything new necessarily during the period of scale, but I can let you know that we're doing a lot of work with our customers in that space and are feeling confident about that.
Ian Myles: Okay. That's great. On the East Coast grid, have we seen the end of contract re-pricing where people are reducing of peak contracting and maybe increasing peak contracting, but the net active having some revenue pressure. Have we gone through that cycle now and then we're now back to inflation on the growth profile?
Adam Watson : Look, it's certainly – well, firstly, our customers are always ensuring that they get the best value and the best service out of us. And it's one of the things I don't think is well appreciated more widely – and we talked with government, for example, about this all the time that our customers are actually paying for service. The majority of our assets are not things where anyone can tap into it. And you just -- I'm talking about gas transmission now and where you regulate them because everyone is getting the same service. The very nature of our assets and the very nature of our gas transmission business is that the vast majority of our customers want service. They want to be able to have the gas when and where they need it and they want to be able to flow it from point to point or different locations based on their own demand, which changes all the time. And it's a really important thing to understand -- there is no question over the last few years that the contracting has become shorter in terms of tenure in terms of length. And that's again just because the customers -- and we're really into this, by the way, the customers want more flexibility in terms of the way that they procure their services because they need it because their business is becoming more variable as well. So we are leaning into that, and we're supporting our customers with that. Do not think for a second and that they don't get the best price out of us. We're dealing with various sophisticated customers, and we -- and we wouldn't expect anything different. I think, though, that if you look at the period and that's one period in a row. So it's not -- I wouldn't call it real momentum yet, but the team has done a fantastic job making sure that we can support our customers during what is a fairly volatile period at getting supply not only in the peak periods, but in the shoulder periods as well. And I think the shoulder periods are becoming more and more variable as well. I think they are becoming more and more variable as well. So what we're seeing is also, I guess, the length of the week of the shoulder period becoming bigger as well.
Ian Myles: And actually specifically to the capacity, Shell drew down a heap of capacity on the MSP. Are we at a point that the MSP is actually fully contracted over winter now and that there's no more ability to sell going – ad hoc.
A – Adam Watson: Yes, the first thing we'd say is that we've got -- which is truly -- we've got capacity across all of our assets. But one of the things infrastructure. It's all about moving bottlenecks, right? So nothing more simple to infrastructure than that, that doesn't matter what asset class you're in as you develop it, all you're trying to do is move the bottleneck to somewhere else. And one of the things that we work with our customers on is how do we shape our contracts. So that it's fair and equitable for everyone and making sure that they've got what they need when they need it and doing things like spreading the shoulders. So there is no question that some of the assets are becoming more full in the peak periods in the winter periods and others have got a fair bit of capacity, which effectively acts as storage going back to Rob's question around storage. Again, I think a lot of people forget the fact that our pipelines actually act importantly as storage vessels.
Ian Myles: So that sort of lends itself to the next question. We've got long foot planning to shut the – one of its gas trains, down to two trains, which I think [indiscernible] per day out of Victoria next year. Are we getting to a point that the shutdown or the reduction of Victorian capacity is so fast that the pipes can't respond to import tunnel, we just have to become a necessity?
Adam Watson: Again, from a pipeline perspective, we haven't been the constraint. It's interesting if there was more supply coming into the southern markets from the southern markets, then that is something that you would have to look at. I think the hard thing for an investor to do is just the uncertainty, like it's pretty hard to make a big investment in an area where there is great uncertainty about what the future looks like. we're not selling assets that you get a return on in three years' time. You're getting the assets that you get returns on over a decade or whatever it may be. So, you've got to have a level of certainty around that. It keeps coming back to the importance of domestic supply. And when you -- we all know, and then new followers is quite fleas anyone I know. We all know the supply we've got available to us in the northern markets. We know we've got the capacity to hold that down into the southern markets. It's about bringing that to market, which we know is going to be the most secure, reliable and affordable outcome for consumers and industry. And I think we've -- it's not ironic that that import terminal -- LNG import terminals and everything have gone quiet because we know that they never really made sense in the first place. So -- and we're seeing that play out when you're relying and dependent on imports. And again, hopefully, I hit the mark when we showed you those graphs about what happened in the UK when you dependent on imports. So, again, it's a very important thing that we sit back and we are sensible about this. And in our minds, that sense starts begins and ends by ensuring we've got appropriate domestic gas supply in the market.
Ian Myles: Okay. And then finally, just on the foundation CapEx, how much is that going to actually turn out to be over the next three to four years? Is it sort of a new line you've broken out to call it foundation CapEx?
Adam Watson: Yes. We want to call it out for a couple of reasons. And there's things like to get a little technical that you're aware of the accounting standard changes, which means our SaaS or cloud-based technology projects are now going through the P&L. And we're trying to help investors as best we can and trying to help you and the sell-side community with the transparency around that. So, you get an understanding of the underlying business. But we've spoken about it for a while and again, just underlying and you can guess how much it's going to cost. But I guess, in terms of what are some of the things that we're doing at the moment, in terms of the media things, in addition to just making sure that we've got the foundations right around capability and so forth. One is our ERPs and we're motoring ahead on that. We need to make sure that our revenue systems and our billing systems fits the purpose and are appropriate. So, we're looking at investments there. We're looking at things, again, -- and that's been incredibly impressive and we've had ministers and we've had customers and we've had so many people look at that really important investment. And then just small things with big things in our premises, we just at that inflection point in our maturity. And again, the organization has been a really strong success story and leaders in the past did a fantastic job to get us to where we got to, and it was entirely appropriate and I don't think we’d it any different. So we got we're at that natural inflation point now where we need to sort of go to that next phase and make investments again. So we can set ourselves up for the next phase of growth, which we feel really, really positive about.
Ian Myles: Okay. That's great team.
Adam Watson: Okay.
Operator: The next question comes from Nathan Lead of Morgan Financial.
Nathan Lead: Yes. Thanks for your presentation. Just a couple of questions from me. So first up, just a bit of detail, I suppose, in terms of revenue quality. Average contract links. It used to be around about 11 years. Where is it sitting at the moment?
Kynwynn Strong: Nathan, look don't provide that number to the market. So historically, we did, and it included the WGP. But I think you should focus on the comments that Adam made earlier about how we're going about our contracting in years, it has shortened. And it's ongoing discussions with our customers. So we're not specifically going to provide you with a number, but you just need to think about the conditions that we've been talking about, strip out the WGP – that is what it is. And I will just leave it there.
Nathan Lead: Yes. Surely. Okay. Second question for me. Quite a big step-up in your liquidity position. I think it's up 28% or so. Just wondering why that is. Obviously, you've got a very strong cash flow generation model, internal funding model effectively, is obviously a cost of that liquidity. So just -- wanted to just talk through the strategy there?
Kynwynn Strong: So -- yes. So during the year, we went to the market, and we were -- we put in place a facility so that we had that capital available if and when we needed it. And if I can kind of link that into talking about the capital allocation framework, it very much goes into that is pillar, if you like, making sure that we've got the flexibility that we want so that we can move quickly if we see an opportunity to create value. So yes, we went to the markets around and had the discussions around liquidity. There was a lot of interest, which is great. And so we've got that sitting there. And we will hopefully come up with something that we all get excited about.
Nathan Lead: Yes. Okay. And just third question for me is the $1.4 billion growth CapEx pipeline. Can we just talk about just in terms of when the incremental earnings from that are likely to come online? I mean, obviously, you've got the regulatory side of things with the Victoria network that's come through in the access arrangement. We've talk through the NGI when that's likely to come on. Just talking through just timing of East Coast grid expansion and other items within that $1.4 billion?
Adam Watson: Yes. Look, it's a bit of a mixed bag Nathan. So I think you just called out a couple of the media one. So NGI, I think I've already explained. We've got things like Mica Creek that will come online later in the year. You've got the East Coast grid. And again, I think, you've got to take yourself back to Ian's questions before around how that East Coast grid works. So it's not as though you spend $400 million and that you've got a full part 100% of the time, that expansion was principally around making sure that we were building appropriate capacity for the peak, so the profile of that might be a little bit different to what we've seen before. I think you've always got to come back to and I just touched on it, but you touched on it, but you got to come back to looking at through the lens of an IRR perspective. So like all infrastructure assets, you look at these things and make sure that you generate a return that's above hurdle rate, which in terms of your cost of capital. Obviously, cash paybacks are an important thing that we're investing in long-term assets, which may take time to ramp up as well. I think the best commitment was a big chunk of capital during the period, and that's a good one because it's an existing asset, and that continues to perform really well. So for us, it's about getting that balance right between making the necessary organic investments to support our customers and acknowledging that, that may mean that it takes a period of time before you get a return knowing that the CapEx for funding, and it goes back to Colin's point around making sure we've got appropriate liquidity is making sure that we've got that to support our customers with the investments that they need and they want. And then just the timing of the cash flows over time.
Nathan Lead: Yes. Can I maybe just throw in one more question, maybe push back here? But just in terms of, I suppose, the returns versus hurdle rates, how are you thinking about that when you're looking at the transmission investments versus the gas infrastructure investments, just in terms of risk profile and target returns?
Adam Watson: Yes, it's a good question, Nathan. And you always push it just a little bit that's good. No, the more questions are better. It's great. So the -- I think you've answered my question in terms of the -- it's really down to the risk profile. I think one of the things that we're seeing through the energy transition, I bring it back to our strategy, and I've been -- we've been very deliberate in our words around being a partner of choice in bundled solutions. There is no accident that we've chosen those words. And the bundled solutions, I think, here is the important one because it's not -- I think the days have just been no investments. Going back to your first question around the ramp-up of the revenue profile the days of building an asset where you had one or two customers and you signed a 20-year contract, there is a basic regulatory framework. They'll exist from time-to-time, but it's not really where the puck is going. It means that you're taking on a level of risk, and I don't want to spook anyone, it's certainly a low level of risk relative to other markets, other industries. But in terms of sort of the infrastructure space, you are going a little bit further along the risk curve and you're partnering with your customers and the reason they're partnering with you is because you're experts in this space and because you're willing to take on a bit of risk. And you've seen how well that can play out in other industries, other infrastructure industries, where you can get yourself up the risk curve. You need to make sure you get financially rewarded for that. And generally, your customers are okay -- with that in 10 years' time, when you've done a great job and you're generating higher returns, it might come a bit of flat, but that's sort of part of the course that you do that. So the electricity transmission assets are going to be more along the sort of traditional regulatory return space, but adjusted for the amount of risk that you will take on, which will probably change on a project-by-project basis. And knowing that, we're all in a sort of a learning phase at the moment. When I say learning, you only have to -- I spent a lot of time listening to AEMO, given their importance in the market and their knowledge in the market. And listen to AEMO, you talk about you can model these things and engineers can stick it in a spreadsheet or a gas chart, but the actual practical delivery of these projects is going to be going to be challenging. And that's why we're building the capability to make sure that we can support our customers with these complex projects and hopefully take on a little bit of risk and hopefully reward our investors with a good return.
Nathan Lead: Thank you.
Adam Watson: All right. So I think we are up with questions. So thank you, everyone, for your questions. Thank you, moderator for facilitating that, and if you can just give me 30 seconds to wrap-up. And what I'd like to do is just take you to slide 33. The three key takeaways from today's presentation: first, we've delivered another solid set of results. And again, a reminder, our distributions are in line with guidance. Our earnings continue to grow, as we continue to invest for a sustainable future, and we've got a strong balance sheet. Secondly, we're confident about our strategy to the partner of choice in the energy transition delivering bundled solutions. And again, there was a fantastic conversation around that during the Q&A. And the third one is our relentless focus on our three priorities areas. That is, again, take you back, our people, operational excellence and creating value. And it really is, I believe, building momentum in the organization. As I said in December, when I took over leading APA, a really strong privileged moment for me, but we're a really strong business with strong foundations and with a great future, and one that's prior to the forefront of responsibly transitioning Australia's energy systems. So we feel very good about the future. And again, we really do appreciate everyone's support. And with that, I'll bring this to a close. And I'd just like to say thank you very much for your time.
Operator: That does conclude the conference call for today. Thank you for participating. You may now disconnect.